Operator: Good morning and welcome to Akerna's First Quarter 2022 Financial Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's conference is being recorded. At this time, I would like to turn the call over to Peter Salsberg, Investor Relations for Akerna. Please go ahead.
Peter Salsberg: Thank you and welcome to today's first quarter ended March 31st, 2022 conference call. On the call today are Jessica Billingsley, CEO and Chairman of Akerna, and John Fowle, CFO of Akerna. Before management begins with formal remarks, I'd like to remind everyone that during this conference call, certain statements will be made that are forward-looking within the meaning of the safe harbor of provisions of the United States Private Securities Litigation Reform Act of 1995. Words such as estimates, projected, expect, anticipates, forecasts, plans, intends, believes, seeks, may, will, should, future, propose, and variations of these words or similar expressions or versions of such words or expressions are intended to identify forward-looking statements. These statements include but are not limited to statements regarding the future growth and prospects for Akerna and statements regarding expected future revenue recognition.  These forward-looking statements are not guarantees of future performance, conditions, or results, and involve several known and unknown risks, or uncertainties, assumptions, and other important factors which could cause actual results or outcomes to differ materially from those discussed, including risks related to changes in the cannabis market and risks related to the impact of the COVID-19 pandemic. These risk factors are more fully described in Akerna's filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the day they are made, Akerna undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Now without further ado, I would like to turn the call over to Akerna's CEO, Jessica Billingsley. Jessica, go ahead.
Jessica Billingsley: Good morning, everyone. Thank you for joining us. Today we reported our first-quarter financial results for 2022, and I'm pleased to say we have posted our fourth consecutive quarter of top-line growth, highlighted by software revenue growth of 71% year over year, total revenue growth of 73% year-over-year, and a current revenue run rate now in excess of $27 million. John will cover the specifics for financials in his remarks shortly. On today's call, we would like to first continue our emphasis on our key performance metrics. Committed annual recurring revenue or CARR, growth in bookings, and growth in client transaction. I'll clarify each of these metrics, explain why they are important, and how we are performing. Secondly, I'll provide an update on the three industry drivers we believe are propelling the cannabis economies forward.  Operator consolidation, U.S. Federal actions and finally, international countrywide legalization. I'll clarify each of these drivers and how they have progressed since we first discuss semi year-ago and our 2021 Q1 earnings call. And I'll share how they've impacted our operations and target markets. Starting with metrics, most of our revenue today is comprised of subscription revenue. As a result, most important metric we tracked to measure our present success is our total CARR, or the total amount of contracted recurring revenue for which clients have signed contracts. Our CARR was 21.1 million as of March 31, 2022, which represents a 35% increase year-over-year. In regards to bookings, this equates to the dollar amount of new science software contracts. The value of which will be recognized over the life of the contract. We consider growth in bookings to be a near-term leading indicator of our performance.  Our Q1 software bookings were 2 million, another record for Akerna, which represents an increase of a 100% year-over-year and 33% sequentially indicating increase in growth. Turning to our third metrics, client transaction growth, which we believe is the single most important long-term indicator of our true market share. We are pleased to report our transaction growth continued in the first quarter of this year with more of the industry running on Akerna as we posted 16% growth in volume and 49% growth in amount. Our clients continue to scale in two ways expansion through acquisitions during the overall consolidation of the market and same facility growth. For example, more consumers are visiting a given retailer dispensary for the first time, and they're also repeating their visits more frequently. These numbers demonstrate our footprint is growing and more of the industry is running on Akerna. Our transaction growth provides a future revenue catalyst as regulatory changes bring opportunities to monetize transaction volume, including through retail and wholesale payment opportunities. Having highlighted our continued performance as measured by key metrics, I'll move on to our industry drivers, starting with consolidation. Consolidation is an inevitability in any emerging industry and in the cannabis landscape, it's most directly related to operator expansion into new states and or their scaling of operations within existing states. Regardless, consolidation among operators who are also rapidly scaling drives the need for technology adoption, the need for compliance within every market in which they operate, and the need for robust accounting, tax planning, and reporting analytics across all facilities. Simply put, consolidation drives need for Akerna's ecosystem to reduce the complexity of managing their businesses. Empowering operators in an increasingly competitive market, with the most efficient and compliant tech platforms to support their rapid growth and expansion. Additionally, we are often converting one or two locations at a time, as operators implement across the organization, which translates into a healthy pipeline of backlog for Akerna.  With 800,000 of CRR are currently in backlog, and understanding the existing footprint and purchasing nature of our clients, we feel confident that over time, as we did nothing else other than serve our existing markets, we could throw our business by 30% on an annual basis by cross-selling and up-selling existing scaling clients into our mid-market and enterprise solution. When making any forward-looking statements in the cannabis economy, we must consider our second industry driver, U.S. federal actions. With public support for federal legalization continuing to grow in our country, I will highlight the latest regulatory actions and I'll reiterate how legalization impacts Akerna. Last month on April 1, the U.S.  House of Representatives passed the MORE Act, a bill that would end the federal prohibition on cannabis by removing it from the list of ban controlled substances. This is the second time this bill has passed the House, and this time, it is joined by the introduction of the Republican-lead, comprehensive States Reform Act in the House and Democratic-lead CAOA Bill draft in the Senate. While it is an important landmark achievement to have multiple such comprehensive bills proposed, including those lead in both Houses and by both major political parties, I'll underscore our statements stayed in previous quarterly reports that legalization will most likely be passed in pieces that will resolve specific issues within the industry instead of by sweeping legalization. These bills will likely serve as a foundation from which pieces maybe pulled and pass. As of today, 38 states have legalized medical cannabis, and 18 states have legalized recreational usage.  Nearly every cannabis-related ballot measure put to voters has passed, including those in conservative states, Mississippi, Montana, and South Dakota. Additionally, state legislatures in New York, New Mexico, and Virginia have approved bills to legalize cannabis for recreational use. As we look at the impact to Akerna as legalization, either of the state or federal level, it's important to note how it positively impacts three areas of our business. In order of when these opportunities become available, each new state generally does the following. First, it provides an opportunity for our track-and-trace product to become the official state system chosen by the states regulatory agency. Next, it opens the door for licensee candidates to use our professional consulting services to ready their applications and their business operations. And lastly, it opens a new market for software sales to operators.  Bottom line, legalization creates regulatory complexity and a surge of operators, governments, and brands requiring leading compliance, scalable technology, and a robust ecosystem such as Akerna's that has been methodically architected to ensure all players have the tech they need to scale successfully. Looking at the international landscape as our third industry driver. As we mentioned in our recent annual shareholder letter, we believe our existing clients headquartered in North America, with their experience and access to capital, are in a position to capture a large portion of the market expansion potential. Akerna's technology systems are poised to expand with them as they extend their [Indiscernible]. Innovation and a growth mindset have always driven the architecture of our ecosystem.  From our inception, we have taken care to construct a robust platform solution that would not only address the needs of the small to medium-sized business segments, but also those of the growing enterprise market. This decision allows us to grow with our clients as they scale from our start up business solution into our larger business offering. We focus on providing the network that connects our applications with our solutions for compliance, payments, and integration. This structure enables our clients to custom select the ecosystem connected suite of products and services, right for them, at this point in their growth journey.  In closing our current near-term and long-term leading indicators all indicate good progress heading into the second quarter and balance of 2022. And we believe we have secured and continue to secure the right strategic partnerships for the business while we have designed our systems to solve some of our client's biggest challenges by reducing their complexity. Now, I will hand the call over to John, who will take us through the details of our financial results. John, please take it from here.
John Fowle: Thanks, Jessica. This morning on provided overview of our financial results and key business metrics for the first quarter ended March 31st, 2022. As a reminder, these results are discussed in further detail in our Form 10-Q. Financial results reported today are preliminary, final financial results and other disclosures will be reported in our quarterly report on Form 10-Q and may differ materially from the results and disclosures today due to, among other things, the completion of final review procedures, the occurrence of subsequent events, or the discovery of additional information. We encourage you to review the filing in detail. Q1 was another solid quarter for Akerna. Total revenue was $7 million, another record for the company, up 73% year-over-year. Gross profit increased to $4.7 million in the first quarter, up 85% year-over-year, and gross margin increased to 68% in the first quarter, from 64% in the same quarter last year. We continue to invest in our technology platform and we are prepared for what we anticipate will be another year of consolidation among the top players and continued growth in the industry.  We continue to experience improvements in customer retention and growing volumes to our platform. Churn has improved by 21% compared to prior year, while consolidation continues with many of our larger clients significantly increasing our footprint. Our average B2B deal size has also increased by 40% year-over-year. B2B transactions track in our system increased by 49% year-over-year and transaction volume was up 16% year-over-year, while retail order spend was up 6% against the same period in 2021.  Now I'll review the financial results for the quarter. As a reminder, some of the metrics are non-GAAP. A reconciliation of GAAP to non-GAAP financials is included in our earnings press release and posted on our investor relations website. We encourage you to review the reconciliation there, as well as our financial statements for the quarter ended March 31, 2022 contained in our Form 10-Q to be filed with the SEC. Total revenue increased to approximately $7 million, up 73% compared to prior year, driven largely by accelerating software growth.  Software revenue of $6.5 million was up 71% year-over-year representing 94% of total revenue compared to $3.8 million and 95% of total revenue from the same quarter last year. The bulk of the year-over-year growth was from the acquisitions of 365 Cannabis and Viridian Sciences, as well as incremental growth from our legacy platform. We currently have approximately 800,000 CARR in backlog. Consulting revenue was up 147% year-over-year to $427,000 and up 14% from prior quarter. Consulting revenue was 6% of our total revenue in the current quarter compared to 7% of total revenue for 2021 and 4% of total revenue for the same quarter prior year.  The percentage of consulting revenue over total revenue has varied from period-to-period, depending on whether state legislation has expanded to allow new entrants or growth of existing market participants. Progress on new state initiatives continues to be mixed. Some states have deferred the licensing process, while others have transitioned from application style to a lottery system of license awards.  We are the clear leader in this space and are positioned well to capitalize as states issue their licenses and then some emerging states return to more aggressive licensing programs. Gross profit increased to $4.7 million in the first quarter of 85% year-over-year, while gross margin increased to 68% in the first quarter from 64% in the same quarter last year, and up from 58% in the prior quarter, primarily due to operating synergies realized from our acquired assets, our ongoing initiatives to drive operating efficiencies, and acquiring additional B2B customers which have higher gross margin. We will continue to focus on increasing our subscription gross margin over time through ongoing investments in automation.  Moving to operating expenses, total operating expenses increased 318% year-over-year to $25.4 million compared to $6.1 million in the same quarter last year. This was primarily a result of an impairment charge of $15.5 million in the current quarter, which we did not have in Q1 of last year. There are also a number of other non-cash, non-recurring items that I will discuss shortly. Total non-GAAP operating expenses increased 58% year-over-year to $7 million compared to $4.4 million prior year. Primarily a result of the acquisitions of Viridian Sciences and 365 candidates completed after the first quarter of 2021. Our non-GAAP operating expenses as a percentage of revenue improved 9% year-over-year as we continued to build scale and drive operating efficiencies across the business. Non-GAAP product development expense increased $700,000 year-over-year to $1.9 million, up 56% primarily due to the 2021 acquisitions mentioned previously. Total non-GAAP product development expense as a percentage of revenue improved 10% compared to prior year. Delhi-related and contractor expenses increased $600,000 or 53% year-over-year.  We continue to drive efficiencies and product development through better optimization of non-labor costs. Non-GAAP sales and marketing expense increased $1.7 million year-over-year to $3.3 million, up 103% primarily due to the acquisitions mentioned previously. Total non-GAAP sales and marketing expense as a percentage of revenue declined 17% compared to prior year, as we've invested in sales and marketing initiatives to drive growth in our enterprise business unit, which is leading to increased bookings numbers discussed previously. Salary-related and contractor expenses increased $1.6 million or 109% year-over-year offset by small declines in other areas as we continue to improve sales efficiency. Non-GAAP general and administrative expenses increased $200,000 year-over-year to $1.9 million or 15%, again, related to the acquisitions previously mentioned.  Total non-GAAP general and administrative expenses as a percentage of revenue, improved 33% compared to prior year, as we continue to build operating leverage across the business through acquisition-related synergies. Dollar Rio-related, and contractor expenses increased $200,000 or 23% year-over-year, while other general and administrative costs remained relatively flat. Adjusted EBITDA was negative $2.3 million, compared to negative $1.8 million for the same quarter last year. Adjusted EBITDA improved 23% compared to prior quarter, as we continue to realize acquisition synergies. Adjusted EBITDA loss as a percentage of revenue improved 29% year-over-year.  We believe adjusted EBITDA, when considered with the financial statements determined in accordance with U.S. GAAP is helpful to investors in understanding and comparing our performance. On a U.S. GAAP basis, our operating loss increased $17.1 million for the quarter to approximately $20.6 million, up from $3.5 million in the same quarter last year. While revenue was up $2.9 million or 73% compared to prior year, the increase in operating loss was a result of a number of non-cash, non-recurring charges. Depreciation and amortization was $2 million, an increase of $900,000 year-over-year, primarily a result of acquisition. We recorded impairment expense of $15.5 million during the three months ended March 31, 2022, primarily due to a continued decline in market valuation from December 31, 2021. We also recorded restructuring charges of approximately $560,000 related to our Las Vegas lease termination.  Turning to key figures from our balance sheet and cash flow statement, our cash and restricted cash was $10.2 million as of March 31, 2022. Net cash used in operating activities was $3.6 million. Net cash used in investing activities was $600,000. Capitalized software increased to $8 million compared to $7.3 million as of December 31, 2021 as we continue to invest in our technology stack. Our goodwill balance decreased $17 million primarily due to the previously discussed impairment charge in the current quarter, as well as working capital adjustments related to our 365 Cannabis acquisition purchase accounting. Gross debt as of March 31, 2022 was $16.7 million. I'd like to take a moment to address the going concern disclosure incorporated into our 10-K filed in March of this year.  While we are pleased with the operating results this past quarter, especially our enterprise business unit, we recognize the continued downward pressure on working capital. The ability of the company to continue as a going concern is dependent on our ability to secure other sources of financing, reduce debt, and attain profitable operation. Our corporate liquidity requirements primarily include payroll costs, corporate overhead expense, and debt service costs and our current sources of liquidity include cash on hand, as well as proceeds we anticipate from the access to our ATM programs. The board is addressing the working capital deficiency and considering all options available to the company in the best interest of our shareholders. As we move forward, we are the leader in a large market that is still early to adopt compliance automation technology. We've made great additions to the platform that can accommodate clients of any size as the industry continues its consolidation.  The unpredictable nature of the capital market and regulatory environment makes it a challenge for all participants in our sector. We will continue to react and respond in ways to address these headwinds while working diligently to build Akerna into the leader of tomorrow. This concludes our prepared remarks. We are happy to take any questions you may have. Please keep in mind that the forward-looking statement disclaimer discussed at the beginning of this call applies equally to the Q&A session. Now, let's turn the call over to the operator for questions. Operator.
Operator: Thank you. If you would like to register a question, [Operator instruction]. And our first question is from the line of Max Michaelis with Lake Street Capital Markets. Please go ahead, sir.
Max Michaelis: Hey. Good morning, guys. Nice quarter. So I guess my first question here --
Jessica Billingsley: Morning. Thank you.
Max Michaelis: Yeah. I guess my first question here is, can you break out that revenue growth. I know it's a nice 70's 3% year-over-year number. If you could break up, what percentage of that was Viridian and 365 and what percentage of that was organic or legacy business.
Jessica Billingsley: John, do you want to take that one?
John Fowle: Hi. I will take that, and good morning. As we shared in our prepared remarks, the bulk of the revenue growth was from our 365 and Viridian business. As we've shared multiple times, the enterprise business unit is the direction the economy's growing and we are investing heavily in expanding that portfolio. The sort of an organic basis, I would say it was a bit of a mix results, I think from the last quarter, if I'm looking at the numbers, we were up about 10% year-over-year in our legacy business, but we had some ins and outs as we move and we shift some of our revenue streams around. But one thing I'll highlight is if you think about our bookings number this quarter, we had a really strong bookings number of 2 million. Again, that was highlighted by our growth in enterprise, and most of our resource and our pivot in the business is going towards extending that business unit which has much more stickier software sales, much larger contracts, much larger ARR, etc. In summary, I would say that the bulk of the revenue growth came from the legacy -- sorry, from the enterprise business unit and we're going to continue invest in that sector.
Max Michaelis: Okay. I guess, yeah, and then going off of just that last wing and so investing in that sector, do you guys expect that cash usage to be similar quarter-over-quarter you then.
John Fowle: You know this past quarter, like I shared again in the prepared remarks, we recognize some of the downward pressure on working capital that are coming since -- from macro level of trends. And we are working very hard internally to be far more focused on our cash and stand and looking at further cost control measures, accessing the ATM facility should we need that, and like I shared, obviously, in evaluating strategic options for the company. So I think over the next quarter we should see some of that cash burn start to fall in line. I think what drove that is the revenue.
Max Michaelis: Okay. Thanks, guys. That's it for me.
Operator: Our next question is -- sorry. Our next question is from Brian Kinstlinger from Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks, I have a few. It's great to see the record bookings each of the last two quarters, actually, so I wanted to start with the drivers. You did a few big wins as you said, deal size was up some 40%. Is it a factor of new states coming onboard? Is it acquisitions that now have you focused on enterprise? Maybe rank some of the factors that are driving the last six months in bookings that have been much stronger than the past for Akerna.
Jessica Billingsley: Hi, good morning Brian. Sure, I'm happy to take that. The biggest factor is, as John noted, the drive into our enterprise business, and that includes up-sells, cross-sells from our existing client base. So that is the largest factor, although we've also had some very nice bookings from our other business units as well in the past couple of quarters, and that is the result of both expansion within our existing client base, winning some business in mature markets, and also starting to see some emerging market activity. And I can tell you that right now we have a really nice pipeline in some of these emerging markets as well.
Brian Kinstlinger: Great. And then l got the other highlight of the quarter ways your three-year high-gross margin. You mentioned John, a lot of factors that drove that. But I think the key questions here is, is that going to fluctuate quarter-to-quarter? Is that sustainable and you can improve upon that in each of next few quarters going forward?
John Fowle: I'm sorry, Brian, you're referring to our gross margin this past quarter?
Brian Kinstlinger: The gross margin, you had 68% and you haven't had that in three years, 12 quarters. So and it's 400 basis points higher than any quarter in the last four or five. So I'm curious, is this now the -- where were your mixes, the -- you can build upon this? Will it fluctuate or it can go up and down in any given quarter, kind of take us through that?
John Fowle: Yeah. I mean, I think you're thinking about it directionally. We said for quite some time that our target is to be north of 70 in terms of gross margin and our target this year was certainly to be in the mid to upper sixties. So we're happy that that attainment was here in the first-quarter. I think a lot of it again goes back to the enterprise business unit and some of the margin profile of these particular customers, the lower Churn numbers, lower customer turnover. It is a really really healthy business sector and I think as we continue to expand, really expand our business into the enterprise I think maintaining that upper 60 number is more realistic as we go forward, certainly as we model out that business unit, I think that's a reasonable growth target for us to have. Now, again, we had some uplift from consulting that swing back in the quarter so that obviously helps a little bit because a number of those costs tend to be fixed, but I think overall, as we continue to expand that enterprise business unit, the healthier margins are going to follow.
Brian Kinstlinger: Great. Last question I've got is, if you were to comment on the convertible debt and the contingent consideration, what are your plans for satisfying these obligations, is refinancing the number one option? Are you looking at the value of some of your assets that you can sell? Just maybe take us through that given where the stock is.
Jessica Billingsley: I'm happy to take that one. As John mentioned in his remarks, as a board, we are actively evaluating all options available to us and certainly, do you have a number of levers that we can pull.
Brian Kinstlinger: Okay. Thanks.
Operator: [Operator Instructions] Our next question is from Scott Buck with H.C. Wainwright. Please go ahead.
Scott Buck: Hi. Good morning, guys. First question for me, just I want to be clear on the backlog. Is that signed business or is that some weighted percentage of what you think is realizable out of a pipeline?
Jessica Billingsley: Hi, good morning, Scott. Thanks for the question. No, that is signed contracted business for all of our contracts for at least annual.
Scott Buck: Okay. Perfect. That's great. Thank you, Jessica. And second, can you remind me, is there seasonality in the sales and marketing spend in the business? I mean, I know we kind of right in this quarter where we were in the fourth quarter, but curious going forward, whether or not we'll see some meaningful fluctuations in that expense line.
Jessica Billingsley: John, if you want to weigh in.
John Fowle: Yeah. Yeah, of course. I think when we brought in the Viridian, one thing to considered the profile of an enterprise business unit, they tend to have -- because it's really heavy traditional ERP, they tend to have a larger focus of internal resources that would fall into the sales and marketing bucket, and so that's why you would see a significant step up there in the fourth quarter and that's quarter this past quarter compared to prior year, it's just the nature of that type of business. But I think if you look at the last quarter, December in this particular quarter, we probably normalized our sales and marketing efforts. And I don't think you're going to see any particular step-up or step-down. Those are probably normalized to support the business today.
Scott Buck: Okay. That's great, John and then last one for me. As we think more broadly in the world, starts talking about potential recession in 2023, how should we think about your business as being recession-resistant, recession-proof? What is the right way to think about it?
Jessica Billingsley: Hi, Scott. Good message -- good question there. So we certainly believe that cannabis proved it's recession resilience at the beginning of COVID and we expect that we would see that further in a recession like another set of vice and comfort and health and wellness categories are things that tend to do very well in a recession, potato chips and make-up and alcohol. I imagine that we're going to see cannabis fall into that category as well and certainly that's what our prior results in terms of the data show from our clients.
Scott Buck: Perfect. I appreciate the time, guys. Thank you very much and congrats on the quarter.
Jessica Billingsley: Thank you so much.
Operator: And we have no further questions at this time. You may continue with your presentation or closing remarks.
Jessica Billingsley: Thank you, Operator. We are the technology ecosystem for cannabis serving operators, governments, and brands. Our ecosystem strategy and strategic investments are focused on locking up the tech spend as the enterprise cannabis businesses, and solving with technology the growing demand for increased supply chain transparency among consumers and governments. We thank you for your interest in Akerna and we look forward to sharing our progress with you as we move forward.
Operator: And that does conclude the conference call for today. We thank you all for your participation and kindly ask that you please disconnect your lines. Have a great day, everyone.